Daniel Fairclough: Great. Good afternoon, and good morning, everybody. This is Daniel Fairclough from ArcelorMittal's Investor Relations team. Thank you for joining us today with our results conference call. Can I remind you that this call is recorded. We will have a brief presentation from Mr. Mittal and Aditya and followed by a Q&A session, which will last probably a maximum of 1 hour. And can I therefore please ask the analysts to limit themselves to one -- sorry, 2 questions per analyst. [Operator Instructions] And with that, I will hand over to Mr. Mittal.
Lakshmi Niwas Mittal: Thank you. Good day to everyone, and welcome to ArcelorMittal's Full Year 2012 Results Call. I'm joined on this call today by all the members of the group management board. Before I begin the presentation, I would like to make a few introductory remarks. 2012 was a difficult year for the steel industry, much more difficult than initially anticipated. The 9% fall in European demand, the economic slowdown in China and volatility in iron ore prices put a great stress on our profitability. We responded well, but this meant taking a number of tough but necessary measures that included closing and idling some of our operations. Due to the tough operating environment, reducing our net debt also became a higher priority. We announced a number of deleveraging efforts, such as non-core asset divestments, a proposed dividend cut, a significant reduction in CapEx. And in January, we raised $4 billion new capital, which has significantly strengthened our balance sheet and will take us a long way towards our ultimate objective of $15 billion net debt. We can now put all our efforts into maximizing profitability through improving both top line and cost performance. This is crucial to the long-term success of our business and will be central to our efforts this year. I expect 2013 to remain challenging for Europe in particular. Nevertheless, there are some positive signs in the global economy. In the U.S., an interim agreement was reached on the fiscal cliff issue. In China, the manufacturing sector grew in late 2012 and economic growth appears to be picking up. In the automotive industry, U.S. car manufacturers have recently announced strong results, and we are seeing the effects of this with strong demand for steel from our U.S. and Canadian operations. Finally, iron ore prices have now been -- now risen significantly from the lows of August last year. Collectively, these indicators suggest 2013 will be better than 2012. We will remain focused on cost and improving efficiency. And we will remain focused on achieving our balance sheet targets without sacrificing the high return growth projects which we have in our portfolio. As usual, I will begin today's presentation with a brief overview of our results and achievements in 2012, and we'll then spend some time on the outlook for our markets, before I turn over the call to Adit who will go through the fourth quarter in greater detail, as well as our guidance for 2013. Now turning to Slide 3, I will start with safety. Looking at ArcelorMittal's health and safety performance in 2012, we see a clear improvement in the Lost Time Injury Frequency Rate. Let me reiterate that I expect ArcelorMittal to make continued progress in our safety performance, particularly in further reducing the rate of severe injuries and fatality prevention. Our ultimate objective is 0 harm. Turning to 2012 highlights, shown on Slide #4. As I mentioned in my opening remarks, 2012 was a challenging year for the steel industry, particularly in Europe. Overall, our steel shipments declined by 2.3% and average steel selling prices dropped by 8.2%. As a result, EBITDA was 30% lower than the previous year. In year 2012, we reported a net loss of $3.7 billion. This includes the noncash impacts of writing down goodwill on our European operations by $4.3 billion and a further $700 million noncash impairments and $600 million restructuring charges associated with asset optimization. Stripping these onetime effects out, our net result would still have been breakeven. Moving to the balance sheet. I am pleased to report that improved cash flows allowed net debt to decline $1.4 billion during the final quarter of the year to $21.8 billion at December 31, 2012. I will talk about our balance sheet in a moment. To put our results in context, I want to spend a brief moment recapping the challenges that the steel industry faced in 2012 in Slide 5. Most major markets saw demand increase in 2012 with a notable 7% increase in U.S. and broader NAFTA markets supported by strength in the manufacturing sector, notably autos, energy and heavy equipment. However, the continued contraction in demand in Europe, together with the sharp economic slowdown in China, created a very challenging operating environment. The demand situation in Europe was much weaker than we and the industry anticipated. As a result, production was not adjusted quickly enough, leading to oversupply and weak pricing. The slowdown in China also had a big impact. The slowdown accelerated during the summer months, and as you can see on the right-hand chart, this placed great strain on iron ore markets. The sharp drop in iron ore prices also impacted the confidence of the steel buyers in other markets. Turning next to the balance sheet on Slide 6. We made significant progress towards resizing the balance sheet during 2012. Since September 2011, we have sold $4.2 billion of assets. So far, the impact of net debt from these disposals was approximately $2 billion. Together with our focus on working capital, this has allowed net debt to decline to $21.8 billion by the end of 2012. However, this does not yet reflect the $1.1 billion cash proceeds that will come following the sale of 15% stake in AMMC, which is Canada -- Canadian Mines and the $4 billion new capital raised in January. So the see-through [ph] pro forma net debt is more like $17 billion. Clearly, this is a significant strengthening of the balance sheet and takes us a long way towards our medium-term target of $15 billion net debt. In this period of low profitability, we remain focused on cash flow. As announced previously, the board has proposed a cut to the dividend, which will save around $900 million as compared to 2012. The 2013 CapEx budget has also been materially reduced without compromising our iron ore growth plan. This will save us around $1.2 billion cash compared to 2012. During 2012, we made significant progress on asset optimization. This focuses our production on our lowest cost operations. I'm on Slide 7. Following the most recent announcement on the downstream at Liege, the essential components of the asset optimization have been announced. There will be some residual costs in the system as the final stages of the plan are brought to conclusion. But I can confirm that we will realize the $1 billion savings originally targeted. We should also expect that the final accounting charges associated with asset optimization will continue in the coming quarters as the incremental milestones are reached. Clearly, asset optimization has necessitated some tough decisions and we have had to deal with the negative reactions of many stakeholders during its implementation. But the steps that we have taken have been essential and our business is now in a much stronger position to deal with the market challenges. We have also made good progress on our iron ore growth plan over the past 12 months, I'm on Slide 8. There are now 2 significant steps remaining to reach our capacity target of 84 million tonnes in 2015. The first is the expansion of AMMC, which is Canadian Mines. The spirals replacement project that adds 800,000 tonnes of capacity will be completed before the end of Q1. The increase in capacity from 16 million to 24 million tonnes per annum requires the expansion of the mine, construction of a new concentrator line and additional rail capacity. The project is on track and the expanded capacity will be commissioned as we move through the first half of this year. We expect to be producing in the 24 million tonne per annum rate by the second half of the year. The second significant step is the Phase 2 expansion of Liberia. Phase 1, as you know, is a 4 million tonne per annum DSO, or direct shipped ore. This is a low-margin product and the margins have been further impacted by the fact that the Buchanan port cannot handle large Capesize vessels. However, offshore loading of Capesize vessels is now happening. The Phase 2 expansion at Liberia has now been approved by the Board of Directors. This is a high-return project than Phase 1. Phase 2 increases the capacity to 15 million tonnes per annum and it will be high-quality concentrate. This will achieve a premium to the benchmark prices. Operating cost will be similar to Phase 1 as the economies of scale offset the cost of concentration. We will give a definitive CapEx number once the tendering process is complete, but I can guide you at this stage, that the CapEx intensity is similar to that of the overall growth plan. The target is to commission the Liberia concentrator before the end of 2015. Next, I will discuss our market outlook for 2013. Global PMI indicators, as illustrated on the chart on the left of Slide 9, have turned up in recent months. This suggests that although Europe is still in recession, the global economy is stabilizing and should gradually strengthen over the course of 2013. In the U.S., consumer confidence is high. Combined with pent-up demand and long -- low long-term interest rates, this is helping both housing and auto demand to pick up. Unlike in Europe, credit is available in the U.S. and businesses are getting loans. We expect U.S. GDP growth of around 2% in 2013 and this should support steel demand growth of around 4%. In the eurozone, GDP has consistently contracted since Q4 2011. ECB action has brought sovereign yields in Italy and Spain back to more sustainable levels. Manufacturing PMI and other indicators have rebounded from the lows of 2012, but only to suggest the pace of contraction has slowed. This suggests that the eurozone is likely to remain in recession in 2013, but far less severe than 2012. As a result, we expect eurozone steel demand to decline by approximately 1% this year. In China, conditions are improving following the very weak second half 2012. Government policies are now pro-growth and the latest indicators support a continued, albeit, gradual recovery. We expect 3% steel demand growth from China in 2013. So overall, we forecast global apparent steel consumption to increase approximately 3% in 2013. The year has started positively with global apparent demand rebounding in most regions. The destocking cycle has ended and we are moving to the seasonally stronger demand period. Globally, export prices have risen and domestic demand and prices have picked up. Although we expect ore prices to eventually decline somewhat, steel prices should be supported by demand in the seasonally stronger Q2. Now I will hand this call over to Adit, who will discuss the financial results and guidance in more detail.
Aditya Mittal: Thank you. Good afternoon, and good morning to everyone. I'm starting with Slide 11. Here, we can see the bridge of group EBITDA in the third quarter to fourth quarter 2012. The bridge shows that the steel business was negatively impacted by a price-cost squeeze during Q4. On average, steel prices dropped by $23 a tonne from Q3 to Q4. This was only offset by -- this was only slightly offset by lower costs. In our mining business, there was a small drop in marketable shipments, but this was offset by the mix effect of higher shipments from our highest margin operation at ArcelorMittal Mines Canada. The effect of lagged pricing on a portion of our shipments from Canada and Mexico and weaker seaborne coal prices meant that there was a negative price-cost effect in mining. These negative elements were offset by the $242 million net gain on the sale of our stake in Paul Wurth. Others include the $110 million Q4 charge for postretirement benefits due to change in actuarial assumptions and the $220 million gain on sale of CO2 credits. Offsetting this in the bridge is the Q3 charge of $72 million related to the new U.S. labor contract, which was completed in third quarter of 2012. Turning to the next slide, Slide 12, which shows our P&L bridge. We will focus on the chart in the upper half of the slide, which shows the fourth quarter results, but comparative figures are there for the previous quarter in the lower half. Let me point out the key differences below the EBITDA line. During the fourth quarter, we booked a noncash impairment charge of $4.8 billion and restructuring charges of $192 million. The impairment charge includes a $4.3 billion noncash goodwill write-down of our European business as we previously indicated. If we strip out these onetime items, then we essentially broke even at the operating level in Q4. Income from equity method investments and other income in fourth quarter was $142 million better, better than Q3, primarily due to the improved performance from Chinese investees. ForEx and other finance costs were $366 million for the fourth quarter. Foreign exchange and other net financing losses were higher in the fourth quarter, primarily due to higher foreign exchange losses as the euro strengthened in Q4. We also recorded an income tax benefit of $1.6 billion in the quarter, primarily on account of the recognition of deferred taxes in Luxembourg, consistent with the goodwill and asset impairment charges. Overall, we reported a net loss of $4 billion in the fourth quarter. But again, stripping out the onetime noncash charges, the results would've been much closer to breakeven. If we turn to Slide 13, it takes -- it provides a waterfall, taking us from EBITDA to free cash flow. The primary driver of improved free cash flow is the change in working capital. During the fourth quarter, we had $2.1 billion release in operating working capital due to better working capital management. Rotation days decreased to 64 days from 72 days in the third quarter. Net of other costs, we had $2.9 billion of cash flow from operations in the fourth quarter, which more than covered the CapEx of $1.1 billion, resulting in positive free cash flow of $1.8 billion for the quarter. Finally, on Slide 14, we show a bridge for the change in our net debt. From the $1.8 billion of free cash flow just discussed, the company paid out $306 million in dividends. As we highlighted previously, the disposal of our stake in Paul Wurth did not reduce net debt. The net effect of the disposal was an increase of $70 million, representing the difference between the cash consideration received from SMS and the cash held by Paul Wurth on the balance sheet on the date of disposal. In addition, there was a negative impact of the net debt from the strengthening of the euro, 152. This was offset by the recovery of subsidiary finances. Overall, the cash performance of the business in Q4 was very strong, allowing net debt to decline to $21.8 billion. I must reiterate that this net debt excludes the proceeds from the $4 billion capital raised in January and the $1.1 billion due from the sale of a 15% stake in AMMC. Turning to the last slide, outlook and guidance, Slide 16. Overall, we expect 2013 to be a better year than 2012, and we expect 2013 EBITDA to be greater than the $7.1 billion reported for 2012. The improvement will be generated by 3 factors: Firstly, steel shipments are expected to increase by 2% to 3%; secondly, per-tonne steel margins are expected to improve as we collect the savings from asset optimization and management gains program; thirdly, we expect to increase our marketable iron ore shipments by approximately 20% in 2013 as we ramp up the expansion at ArcelorMittal Mines Canada. We expect CapEx this year to be approximately $3.5 billion, meaningfully lower than the $4.7 billion we spent in 2012, but still allowing us to finance the key growth projects in mining. Net debt, of course, will be reduced. We've indicated approximately $17 billion of net debt by midyear, which is the natural outcome following the proceeds from the recent capital offering and the sale of our -- of a minority stake in AAMC. Ultimately, we will reduce net debt to a $15 billion medium-term target. So to conclude, it is clear that the level of profitability in Q3 and Q4 have been disappointing. It is the result of very challenging operating conditions. We believe these quarters mark the low point in the cycle and we look forward to improved results in 2013. This concludes our prepared remarks, and we are ready to answer your questions.
Daniel Fairclough: [Operator Instructions] So I will ask -- get the first question from Alex Haissl at Morgan Stanley, please.
Alexander Haissl - Morgan Stanley, Research Division: It's Alex Haissl at Morgan Stanley. I have 2 questions on the guidance. The first question is, can you give us more light what the pattern will be H1 versus H2? Is it fair to assume that you see a pickup, in particular in the second half versus the first half? And the second question, also on the guidance, can we expect positive one-offs in the form of disposal gains included in that figure? Or is it more of a clean figure looking into 2013?
Aditya Mittal: Sure. Thank you, Alex. I think in terms of guidance, let me take -- let me provide the context first and then answer your question. I think it is 18 months ago, we moved from a quarterly guidance framework to a 6-month guidance framework. We benefited this in a few areas. We basically encouraged the market to look at longer periods when looking at our performance as a business, which tend to be less impacted by seasonality and lags. We've also increased disclosure, leading to better understanding of our business, particularly on the mining side. So I think the move to annual guidance is a natural progression. We want to provide you a framework through which you can create your own forecast and develop your own conclusions, but we believe this is a positive step in how the company can provide you with more information on how it will perform in 2013. I think the 3 key points in 2013 guidance, I will reiterate it, to get into a discussion now on how first half will do versus second half will almost defeat the purpose of providing a full year guidance. What I can say, though, is a few things. Historically, before the level of volatility we've had in the last few years, the second half is weaker by about 10% compared to the first half. This is purely due to seasonal factors. In 2011 and 2012, the second half was 30% lower than the first half. This was driven by external macroeconomic factors. 2011 was the start of the eurozone crisis, second half 2012 was the weakness in China. We don't expect a significant -- we don't expect a negative macroeconomic factor in 2013 and therefore, we should not see such a dramatic drop in second half. Furthermore, we've also had periods before in which the second half has actually outperformed the first half, such as in 2009. So I would not draw any conclusions from my remarks on whether first half is going to be stronger or second half is going to be stronger. I just want to reiterate our guidance framework, that 2013, on a reported basis, will be better than 2012. In terms of your one-off, again, we're not providing specific guidance on one-offs, and we are directing you to focus on the fact that our reported EBITDA will be better in 2013 than 2012.
Daniel Fairclough: And we will take the next question from Mike Shillaker at Credit Suisse.
Michael Shillaker - Crédit Suisse AG, Research Division: Just to come back to the guidance, I'm still not fully understanding what the benefit of giving full year guidance is. I mean, the half year has been challenging, given the visibility in the steel markets tends to be very short term. And on the back of that, what are we actually adding by giving full year guidance when visibility on the second half of the year is close to 0 at the moment? So I just don't quite really get what the benefit in doing this is. The second thing is, in terms of the $17 billion of net debt guidance, which is a hard number for June, how much working capital build are you building into that? Because obviously, there was quite a big working capital downturn or cash inflow at the end of the year. We're seeing prices up, volumes up, iron ore prices up, so one would imagine, and certainly, your EBITDA guidance suggests that your EBITDA run rate is improving. All of these suggest working capital build in the first half of the year, which is seasonally strongest anyway. So into that $17 billion of net debt, how much working capital are we actually building into that, just to give us an idea of the cash flow bridge?
Aditya Mittal: Okay, great. Thank you, Michael. I think, from our perspective, the benefit of providing an annual guidance is to encourage our investors and people who follow the company to appreciate that it is better to look at our business on a medium- to long-term basis rather than trying to guess whether the first half is stronger or the second half is stronger, but to focus on what the key drivers are and what improvements we are making in the business on a year-to-year basis. And that is why we first moved from quarter to half year, and from half year, we moved to full year. And we want to focus on the improvements we make on an annual basis, and I think that is the best way to measure our performance and how we outperform the competition. In terms of your question on net debt guidance of approximately $17 billion by June end, I mean, that's a direct result of the capital raise that we did, and Q [ph], and the sale of 15% of ArcelorMittal Mines Canada, which basically is approximately $5 billion. If we take $21.8 billion minus $5 billion, we get approximately $17 billion. I do agree with you, based on volumes and where prices are, iron ore, as well as steel, we do expect a working capital build. Some of that will be offset by further asset disposals. So that is basically the neutralizing factor in terms of the working capital build.
Michael Shillaker - Crédit Suisse AG, Research Division: Okay. And just a follow-up question, if I may. I mean, in the last few years, you have had a sort of stab of giving a view based on your long-term experience in the steel market, as to whether the second half, like we saw in 2004 and, correct me, you said in '09 and I think '06, could be an ongoing acceleration through the year. And certainly, from a, what you're seeing at the moment, but b, from where you feel as though we are in the cycle, do you think it's going to be a more even year this year through the second half? Or do you think -- I mean, obviously, you're not expecting the fall off the cliff that we had last year. But do you feel that we could get that sort of more like 2004, 2006-type scenario?
Aditya Mittal: I think, Michael, right now, there are still conditions on a global basis. Conditions on a global basis are still fragile, right? So it's not that every indicator is a green. I mean, we're still going through a period in which European consumption is negative PMI and Europe is still below 50. We do have PMI readings in U.S., China and other parts of the world above 50. On a global basis, we're above 50. So we're not yet in an environment which is all indicators are showing green. And again, I think if I say more on second half versus first half, I think we're getting into guidance territory.
Daniel Fairclough: Okay. We'll take the next question from Luc Pez at Exane BNP.
Luc Pez - Exane BNP Paribas, Research Division: So 2 questions, if I may. First of all, on iron ore. As I try to reconcile the former guidance for 84 million, 85 million tonnes iron ore shipments by 2015 with the new capacity guidance, therefore, I'm wondering whether there is a slippage related to Liberia Phase 2 expansion and therefore, shipments being below in the range of 5 million tonnes versus what you previously mentioned. And secondly, willing to come back on the current trend in the U.S. market, as you described the underlying market as being supportive from an end-demand standpoint, yet we do not see prices moving up. And how do you reconcile that with actually scrap coming off over the past few weeks?
Aditya Mittal: Luc, your second question was on the end-demand market in Europe or steel generally?
Luc Pez - Exane BNP Paribas, Research Division: In the U.S., sorry.
Aditya Mittal: In the U.S., okay.
Lakshmi Niwas Mittal: On the first question on the mining, I don't think we have changed our forecast. Our -- when we said 100 million tonnes, 15 million tonnes always included the volume coming out of our contract, contracts with our suppliers, which are based on formulas. So on 100 million tonnes, 15 million tonnes was included as part of contract and 84 million tonnes was our direct production. So we still maintain the same targets. Our targets have not changed.
Louis L. Schorsch: Yes, in terms of the U.S. market, I think we do think that the conditions are in place for some price increase and largely driven by iron ore prices worldwide, as well as price differentials across different regions. I think you're correct that scrap has been basically flat and that, that is a constraining factor, but we think it's -- our perception is that it's largely a timing issue.
Luc Pez - Exane BNP Paribas, Research Division: And one final question. You do not mention anymore the conclusion of the Kalagadi disposal. I thought there were some funding issues. Could you, perhaps, explain to us whether it is going to happen in Q1 or Q2?
Aditya Mittal: So in Kalahari, at this point in time, the transaction still remains subject to financing. When we have a further update, we'll let you know.
Daniel Fairclough: Okay. So we'll move on to next question from Dave Martin at Deutsche Bank, please.
David S. Martin - Deutsche Bank AG, Research Division: Wanted to start with a question on your China outlook. I know in your prepared remarks, you stated that some of your more optimistic tone is a function of iron ore prices rising. But if I look at your production or consumption growth forecast in China, they seem pretty cautious, while many others have increased their production or consumption forecast on China. So I guess I'm wondering, what's supporting your 3% growth forecast? And then my second question would be, can you just give us a general update on future asset sales? And specifically, I believe your lockup on Erdemir is due to expire in a couple of months. I'm wondering if that's still a non-core asset in your perspective.
Lakshmi Niwas Mittal: Adit, would you like to answer future question?
Aditya Mittal: Sure. In terms of our future asset disposals, I think we are focused on optimizing the portfolio. So after the capital raise and the sale of 15% stake in ArcelorMittal Mines Canada, we are not focused on significant asset disposals. We have done about $4 billion already and that's a good number. Within that, there could be some small opportunities across the globe in which we continue to optimize the portfolio. In terms of Erdemir, I mean, just technically, the lockup has already expired and I cannot comment further on what we intend to do with our stake.
Lakshmi Niwas Mittal: If you look at China in the first half of 2012, we saw the growth in the steel demand about 3%, between 3.5% -- 3% and 4%. Second half, China slowed down due to various macroeconomic reasons and also due to the Chinese leadership in process and also due to the strain by the Chinese government to lend funds on housing markets. And still, it grew by 7.8%. And the Chinese demand grew for the year about 2% in 2012. 2013 now at 3% is based on some of the issues, which got already settled in China, like leadership, their continued -- and their continued commitment to continue to grow. And we believe that China in '13 will grow by 8.1% and then we follow the normal pattern of first half of 2012. We believe that now with the lending to the housing market, now continuing the spend on the infrastructure projects, the Chinese demand should grow by 3% this year. If you see the last news item, where the Chinese housing companies have raised $5 billion of bond in the first month of 2013, whereas the whole of last year they raised only $10 billion, which means there is a very positive momentum in China to continue to spend on housing and infrastructure.
Daniel Fairclough: Great. We'll take the next question from Tom O'Hara at Citigroup.
Thomas Joseph O'Hara - Citigroup Inc, Research Division: Just a question on the asset optimization program. Could you give a bit of color as to the actual gains realized from the program in 2012? Maybe a bit of color on what sort of gains you expect in 2013. I understand the sort of the actual $1 billion run rate won't be reached now until the second half. So it's just sort of 2013 versus 2012 comparison on the program, which would be helpful.
Aditya Mittal: Sure. In terms of the asset optimization program, the announcements have been made. So essentially, the key components are now known. And through the announcements, we can see that we create a value of $1.1 billion or a cost saving to the company in excess of $1 billion. We expect to achieve the run rate of that in the second half. The delta between 2012 and 2013 is approximately $300 million to $400 million.
Daniel Fairclough: Okay. So we'll move on to the next question from Carsten Riek at UBS.
Carsten Riek - UBS Investment Bank, Research Division: Just a question on the overall performance, because you mentioned that we have seen a better consumption -- steel consumption in all but the European areas. Nevertheless, you have actually shown a significant drop in profitability in all of your businesses, and not only Europe. The consumption is rising globally, but so is the capacity. So the main issue remains that it's an underutilized industry, so why should we actually see, in your opinion, a margin expansion in that industry, is the first question. The second question I have is particularly on AACIS. I always come back to that. It's now the first time that we actually see a negative EBITDA, if I strip out the Paul Wurth gain here. When is that to recover? And actually have -- is that a structural issue, which will be with AACIS also over the course of 2013?
Aditya Mittal: Sure. So in terms of margin expansion, I think you're right that, Carsten, that we have had positive consumption growth. But I think if you look at 2012, especially the second half, where profitability was most impacted, not so much the first half, apart from Europe, you see the China effect, right? China weakened and that had -- and as a result of China weakening, there were a lot more export tonnes from other markets keeping a cap on steel pricing in all of these markets. You saw some of that impact on AACIS as the export realizations were very weak and there was weaker pricing even in the domestic markets. So though China is positive consumption, it is significantly lower than what it has been historically and that is the adjustment that the steel industry went through in the second half of '12. We're not forecasting very strong growth in 2015, but to the extent that China continues to strengthen, to the extent that overcapacity in China is reduced, that would allow these other markets to have much better price over raw materials or steel margin in their end markets. So we should not underestimate the China impact. I'm sure Gonzalo has more points on AACIS performance.
Gonzalo Pedro Urquijo Fernandez de Araoz: Thank you. Good afternoon and good morning to all. Yes, in terms of AACIS performance in Q4, we've had 2 basic issues. On one side, we've seen a decrease in production of 13%. That has been basically due to repairs and maintenance. Repairs and maintenance in South Africa, on one hand, we had the blast furnace of Newcastle. We also had the blast furnace at Vanderbijlpark. And in Kazakhstan, we had issues in the steel shop and also in the blast furnaces. That is my first comment. In Ukraine, we performed well and strong, I would say. The second factor has been pricing. We have seen weak market conditions in Russia, in Ukraine. In South Africa, we've seen a depreciation of the rand versus the dollar of about 5%. So you have seen an important decrease in prices from $7, $6.58 to $6.11. Now we have had a reduction in cost, but it has not been able to offset the reduction in prices. So I would say the performance has been due -- 50% of it is due to the operations and 50% of it due to the price-cost squeeze. As for the demand, you asked to comment on the demand. First, we are focusing very much on our own world-class manufacturing and improvement. I do think that in January, we're out in a better situation in South Africa. In Kazakhstan, we'll be out by February on one side. So I do see a better industrial performance. And in terms of prices, we have already, in some of these markets, seen some increase or announced some increase in prices. So I don't see there's a structural issue and we are focused very much on those internal issues.
Carsten Riek - UBS Investment Bank, Research Division: Just very quick on this follow-up, one. As the Middle East becomes more and more self-sufficient, isn't there a structural issue with overcapacity in the former CIS countries, which pretty much exported in those areas, so that is now disappearing? And these volumes have to go somewhere if -- and that, in my opinion, creates a pricing pressure there.
Gonzalo Pedro Urquijo Fernandez de Araoz: Let's distinguish. I would say that, yes, we are mainly exporters. For example, in South Africa, I think we're not impacted by that because it's only 20% of our exports and I wouldn't say they go towards the Middle East. But it is true, you pointed out an issue that for Ukraine, which we are exporting around 65% and Kazakhstan around 37%, we will be impacted. And then I would say there has been some new capacity in Middle East, but also in Russia. That is true. On the other side, we have seen growth in consumption. So for the moment, we have not seen that effect you are now mentioning at this stage. We've seen growth in those markets and there is demand. I would say we've seen more issues in prices, but not in demand, at least for the moment.
Aditya Mittal: I would just add that the biggest effect in the Middle East export trade is not so much there on capacity but has been the Iran effect, right? Because a lot of the CIS producers are no longer selling into Iran and that is creating some surplus. So that is the main change in the Middle East, but Gonzalo's absolutely right. There is positive consumption and growth in the CIS, strong numbers, and that is offsetting some of that.
Gonzalo Pedro Urquijo Fernandez de Araoz: We've seen new players, like Iraq, which has also come in very strongly and that has been very positive also for the market.
Daniel Fairclough: Okay. So we'll move to the next question from Tony Rizutto of Dahlman Rose.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: I've got a question, my first question, on met coal and your integrated competitors in the U.S. have indicated pretty substantial savings year-on-year in third-party met coal purchases. And when we look back of the envelope at what your third-party coal purchases look like and -- are we correct to assume about 30 million tonnes a year approximately? And are you also going to see some significant savings this year on that front? I have a second question, too, on China.
Aditya Mittal: Okay. We don't get into very specific details on what we're doing in terms of raw material purchases. But clearly, we would be similar to our competitors in North America.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: Okay. And the second question would be -- so they've been talking about $30 to $35 a tonne, so that would seem to be in line with what you guys are seeing in North America as well. And any comments on Europe?
Aditya Mittal: Again, we don't want to get into specific pricing deals that we have with our suppliers. I mean, we should be in line with the competition.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: All right, fine. And then with regards to China, there seems to be a great deal of uncertainty and we've seen crude steel production remain fairly stable, around the 700 million tonne per annum mark. And I'm wondering what your thoughts are specifically as the Chinese come out of the -- when they do come out of the Lunar New Year holidays, are you expecting that we're going to see a sharp increase in production? Because it looks like there's been a fair amount of stocking of iron ore ahead of a potential increase. Just wanted to get your thoughts there.
Lakshmi Niwas Mittal: They had a lower level of inventory in China and before they went into the holiday -- before they -- I mean, at the time of 2013 -- in 2012 -- end of 2012 and coming in 2013, they're at a low level of inventory and they needed to build it. But this does not mean that there will be a big shift in the production volume, but there could be a syntality effect like last year, they had to produce too much in the first half. But I think this year, it will be much more steadier than the volatility which you saw in 2012.
Daniel Fairclough: Okay. We'll move on to the next question from Alessandro Abate at JPMorgan.
Alessandro Abate - JP Morgan Chase & Co, Research Division: Two questions. One is related to the scrap cycle in the U.S. market now heading towards a more favorable season for construction and the construction in residential is picking up a little bit more. Is there any sign of a reversal in the price of the scrap at the moment? And the second one is related to potential need -- the potential takeover of Calvert, the ThyssenKrupp operation in the U.S. I know that you're not going to provide any kind of guidance in terms of upside in EBITDA. But if it's possible to get a kind of indication, what is the percentage related to the direct positive impact of the integration of Calvert plant with Mexico and Brazil, for example? And how much could be due to an Asset Optimization Plan that can actually be implemented across Latin America?
Louis L. Schorsch: On the scrap front, again, I think, with these markets, they all move in tandem so that certainly, there is some pull on the scrap price, some upward pull based on what we're seeing in iron ore globally. I think this has been with some ups and downs and obviously, it's never only one way, but this winter has been a relatively mild winter, that makes it relatively easy to collect the scrap and distribute it. That's not often the case in this environment, but I think we would expect that, that commodity would move upwards and we expect that there will be more export coal on the U.S. market for scrap. So again, the timing is a bit unclear, but I think that, at least is our expectation, that we'll see some upward movement in that commodity.
Lakshmi Niwas Mittal: On this Alabama plant of TK, we are one of the 5 bidders and the process is still on, due to confidentiality agreement, we do not want to discuss more about this. And once there is more clarity, then we will discuss.
Operator: The next question will be from Neil Sampat.
Neil Sampat - Nomura Securities Co. Ltd., Research Division: Firstly, a question on the guidance around the steel EBITDA per tonne being higher in 2013 than in 2012, coupled with steel shipments being 2% to 3% higher. I guess, once you strip out the one-offs in the 2012 earnings, this basically improves -- basically implies an improvement in steel EBITDA materially in excess of what's been outlined for the asset optimization program. So could you give some color on where -- or in what region you have confidence in the greatest year-on-year growth in that steel EBITDA per tonne? And then secondly, is there a scope for any gains from disposal on, for example, on the stake in AMMC? And are there any further asset disposals in the pipeline? Or has the opportunity to -- basically mean that, that program has now run its course?
Aditya Mittal: Okay. So in terms of AMMC, we're selling a stake in the business, so that does not generate any EBITDA gain. So that's quite simple. In terms of asset disposal, as I said earlier, large asset disposals are probably not going to happen. Our focus is to optimize the portfolio on a global basis going forward. In terms of guidance, I mean, there's 3 elements, right, on the guidance. There's the mining shipment increase of 20%. There's the steel shipment increase. And then in terms of margin per tonne for steel, there are 2 elements: One is the asset optimization and the second is the management gains. We completed the program in Q3 of last year. And in 2013, we should have $200 million to $300 million of benefits as a result of the management gains as well.
Daniel Fairclough: Great. We'll move on to the next question from Alexander Hauenstein at MainFirst.
Alexander Hauenstein - MainFirst Bank AG, Research Division: First of all, one, I would like to know if we should expect to see some more shutdown announcements from either your or some of your competitors in Europe. Or do you intend to release some of the formally idled capacities over the course of the year? Maybe a quick comments on that one. And second question, with regard to Q1 and Q2, could you please provide us with an update regarding your auto contract? What did you see here? What do you expect here? And maybe you can give us some feeling about the current order intake, especially in January.
Aditya Mittal: Okay. I'll get Lou to talk about auto. I think, in terms of Europe, we said this morning that the essential components of the asset optimization have been announced, so we do not expect any further restructuring in Europe. In terms of restructuring, we don't get into that discussion either. It would depend on market conditions. Safe to say that most furnaces that we want to be operating are operating today in Europe. Lou?
Louis L. Schorsch: Yes, on the auto contracts, we have slightly more than half of the auto business covered by contracts for 2013. Currently, as you probably know, those contracts come up for renegotiation at different points in the year, which gives us some balance there as we roll forward. I think we are looking now for a great majority of our contracts to be annual contracts settled with [indiscernible] that's always been the norm in North America. I think that we're reverting to that structure to some extent in Europe as well.
Daniel Fairclough: Okay. We'll take the next question from Charles Bradford at Bradford Research.
Charles A. Bradford - Bradford Research, Inc.: A couple of questions. First of all, you're probably aware that Cliffs has issued a warrant notice for the closure of 2 of their mines, which associate with you, Empire and Tilden, effective April 1, basing it on weak demand. Is that just implying that your needs for the pellets will be reduced?
Lakshmi Niwas Mittal: Louis?
Louis L. Schorsch: Yes, I think we have multiple sources of iron ore, including some of our own production here. So we certainly don't expect any of our steel production to be reduced. If anything, I think we'd see, as the U.S. market recovers and we do some repairs on some of our blast furnaces, the opportunity, actually, to boost our own production.
Charles A. Bradford - Bradford Research, Inc.: Okay. In the past, I guess, on one of the investor days, there was a comment made that you didn't expect to be able to make any flat-rolled acquisitions in the U.S. given the antitrust implications from the Department of Justice. Has anything changed that allows you to think you could actually bid and get ThyssenKrupp?
Louis L. Schorsch: I don't recall that comment, Chuck. So I think, as we've commented already, and obviously, we're -- we have went into some NDA agreements for the -- connected with the process, but I think we're actively involved in the process for the Calvert facility and expect that this is something, should we win that bid, that we'd be able to consummate.
Daniel Fairclough: Okay. So we'll take the next question from Tim Cahill at Davy, please.
Tim Cahill - Davy, Research Division: My first question is in relation to European steel prices. Obviously, current hot-rolled coil price is around EUR 500 a tonne. You guys have announced a price of EUR 540 a tonne. And so far, I suppose, it's being kind of not overly successful. Where do you feel you are in that process? Do you expect to see prices edge higher? And secondly, you might just give us a bit more detail on where you think inventories are in the European steel market?
Aditya Mittal: Okay. So we're happy to talk about inventory. But in terms of pricing, we don't answer the core pricing question. And similarly, we don't want to get into the specifics of where the steel pricing is in different markets. We just want to talk about macro trends. In terms of inventories, the inventories are reasonable in Europe. They are not high, neither are they low. They're running at about 2.3 months, right now, and so they're quite reasonable level of inventories.
Tim Cahill - Davy, Research Division: Okay. And just my second question is in relation to Thyssen, the Calvert assets. The $17 billion guidance, would that include the Thyssen deal? I know you commented on this around the time of the raising. But just to confirm that, if you were to do the Calvert deal, that would be done from cash flow generation. And even including that deal, you still think you'd be able to get below $17 billion by June?
Aditya Mittal: Yes, that's right. We expect to get to $17 billion by June, that's an approximate net debt forecast. Yes. So did I answer your question or...?
Tim Cahill - Davy, Research Division: What I'm saying is that, does that include some assumption around the ThyssenKrupp acquisition? So for example, if you put a number of, let's say, $1.5 billion on that deal, if that deal doesn't happen, is it implied that your net debt could be closer to $16 billion? Or is that deal separate to the $17 billion guidance?
Aditya Mittal: So the deal is separate to the $17 billion guidance in the framework, in the way you asked the question. So we expect to be at $17 billion net debt by June end.
Daniel Fairclough: And we'll take the next question from Rochus Brauneiser at Kepler, please.
Rochus Brauneiser - Kepler Capital Markets, Research Division: Just a brief follow-up on your guidance again. What kind of implications have you put into your EBITDA guidance in terms of iron ore price and steel pricing trends compared to where you are at the moment? Secondly, maybe just as an add-on to the $17 billion debt guidance. I guess, at the time when you announced that the capital raising, it was $3.5 billion and then it was $4 billion, what's the difference earmarked for -- as you have no change to your $17 billion guidance after the full amount was known? And maybe to get everything together, I guess there were some comments this morning that now 16 blast furnaces have been operating in Europe down -- up from, I guess, 13 or 14 previously. Maybe can you share with us which furnaces have been restarted recently? [Audio Gap]
Aditya Mittal: Yes, sorry, I don't think you heard my answer. In terms of ore and steel pricing first. So the ore expectation for 2013 is similar to 2012 in the guidance framework that we have presented. The same for steel. I mean, our price over raw materials is similar to what we had in 2012. So what we're trying to highlight is the 3 key specific company drivers, which is volumes, margin expansion due to AOP and management gains and the third is, is the market [indiscernible] expansions. In terms of net debt, we had said that $17 billion is where we expect to be by June end and that is where we expect to be, regardless of whether we acquire TK or not. And so that guidance stands. In terms of the 2 furnaces that have been started up since the fourth quarter, is really Dunkerque, our blast furnace #3, and Asturias blast furnace #2. So that takes us from 14 to 16. They were down for maintenance and technical reasons. The current market is stronger than the second half of 2012, and as a result, they have been restarted.
Rochus Brauneiser - Kepler Capital Markets, Research Division: But -- and just a follow-up on the net debt guidance. I was not really asking about the Alabama site, what I was curious to understand is that at the time when the $17 billion debt guidance has been given, the capital raising stood at $3.5 billion. And then effectively, the volume was $4 billion, so you have now a $0.5 billion of a buffer. So is this some signaling of a working capital increase? Or maybe can you put a little bit more light on that one?
Aditya Mittal: Okay. So we -- when we created the guidance framework, we had various asset disposals that we could also trigger to further reduce net debt. To the extent that we have very small capital, there is less pressure to do that. To the extent that we have very small capital, there may be less pressure to reduce inventories and to manage AP and AR and perhaps buy some opportunistic iron ore and coal, if the price environment is favorable, we'll produce extra steel. So I think I would not suggest that the $500 million takes us lower from the $17 billion net debt target.
Rochus Brauneiser - Kepler Capital Markets, Research Division: Okay, fair enough. And just maybe finally, I guess there was another comment this morning that you expect a significant improvement in the first quarter EBITDA. Is this comment based on a clean or on a reported Q4 figure?
Aditya Mittal: It's based on an underlying basis.
Rochus Brauneiser - Kepler Capital Markets, Research Division: So on a clean number?
Aditya Mittal: We call it underlying, yes.
Daniel Fairclough: Okay. So we'll take the next question, please, from Jeff Largey at Macquarie.
Jeffrey R. Largey - Macquarie Research: Just returning to Liberia, I guess I'm somewhat surprised you announced a pretty major project expansion here, Phase 2, 11 million tonnes with, a little bit -- I guess, you could described it, a little light on disclosure. Can we kind of talk more about CapEx and also in terms of the port? I think you mentioned that you're now loading capesizes, but it wasn't to clear to me whether that was because the transhipment vessel has been commissioned or if there's been some other type of solution found?
Gonzalo Pedro Urquijo Fernandez de Araoz: Yes, Jeff. The transhipment facility has been commissioned and is in fact functioning. But the port capacity really has expanded through the addition of much more robust shipbuilding arrangements and material-handling arrangements at the port. The crate [ph] capacity is already there and the ability to handle capesizes is already there.
Aditya Mittal: In terms of CapEx, we have not, Jeff, provided you with a specific number, but it is not dissimilar to things we have guided to all of you before. It's within the $4 billion CapEx envelope to achieve the 84 million tonne production capacity in the ore business. So it's very much in line. We're just in the process of completing our -- some of our tenders. I think when we have the Investor Day a month from today, we can give you a specific forecast.
Jeffrey R. Largey - Macquarie Research: And will that also -- I mean, in terms of timing, when you talk about first concentrate in 2015, is that early in the year? Or is it later in the year?
Aditya Mittal: It's later in the year versus earlier in the year.
Jeffrey R. Largey - Macquarie Research: Okay. And then the final question I had, and again, I apologize if I missed this. Looking at the dynamic delta hedge, does that run off here at the end of the first quarter as I think you had previously guided to?
Aditya Mittal: Yes, it does. We have $90 million left in Q1 and then there is no more on the dynamic delta hedge.
Daniel Fairclough: Okay. So we'll move on to Andy Mohinta at Goldman Sachs.
Anindya Mohinta - Citigroup Inc, Research Division: I just had a couple of questions. One is for Lou. In the U.S. business, not just the U.S., I guess, North America, shipments were down about 4% or sequentially from Q3. And if you look at the -- some of the other peers like AK and X, they were flat. So I was just wondering if this was just more you guys taking downtime or if there were some market share issues here. And the second question was just a clarification, at the time of the capital raise, I think that, Aditya, you had mentioned that the $17 billion June target includes some sort of procedure -- some cash set aside for Alabama, potentially, if you got that asset, and I just wanted to double check that if that is the case because I just -- I think I heard you say that the deal and the $17 billion target were separate.
Louis L. Schorsch: Yes, on the volume in the U.S., we did have a lot of outages at our operations, some, I hate to say, unplanned, but we also had an awful lot of maintenance scheduled for the fourth quarter, which, as you know, is seasonally weak. So we don't expect that there's any impact, certainly in the long term, on market share or anything like that. It really was driven largely by the fact that we scheduled a lot of outages in that period.
Aditya Mittal: Okay. So coming back to net debt and TK and we spent a lot of time with this at the previous call and I think we're not providing all of you with proper framework. I think it's important to first appreciate that we are bound by a confidentiality agreement. So that limits to the extent that we can provide you with full disclosure as to what we intend to do. Number two, when we raised the capital a few weeks -- a month ago, we had talked about how the capital raise that we are doing, as well as the Q [ph] sale, will go to reduce net debt directly, i.e. we're not using the proceeds of the capital raise to participate in TK America. And that holds, right? And therefore, we're saying that, look, we will get to a net debt level of $17 billion because we're utilizing the capital that we raised to reduce our net debt. I think, at the end of the day, we believe that the impact of TK will not be that significant, especially by June end, and therefore, does not impact our net debt forecast for June. And I really cannot add more because we're bound by confidentiality agreements. But that is, I think, the most appropriate comment that the company can make at this point in time.
Daniel Fairclough: We'll take the next question, please, from Aidan Cheslin at Deutsche Bank.
Unknown Analyst: Just have a question on the pension side. You alluded to some changes in actuarial assumptions in the results write-up. I just wondered if you could make any comments or guidance at this point from the development to the balance sheet deficits for pensions [indiscernible] at year end?
Aditya Mittal: We should be filing our 20F by end of next week. The changes on the balance sheet are not that significant compared to 2011 to 2012. You'll see that in our filing. It's approximately $300 million.
Daniel Fairclough: Okay. We'll take the next question from Rui Dias at Espirito Santo.
Rui Dias - Espirito Santo Investment Bank, Research Division: I have 2 questions, if I may. The first one is regarding your comments that you said that you see -- you have seen positive indicators. My question is, is this based on the evolution, positive evolution of the PMIs in U.S. and China? Or if you based this guidance on the order books -- or the orders that you have seen during January? And if this evolution of order books versus last year is in line with your full year guidance or not? The second question is, we have seen iron ore -- price of iron ore since November increasing substantially and versus a flat evolution or roughly flat evolution of steel prices in U.S. and Europe, which means a squeeze on this margin. And my question is, if or, and when this should have an impact, I would say, a negative impact on your EBITDA margins? And last, what -- I think, if I'm not mistaken, you have mentioned on the third conference call -- on your conference call for third quarter results, that you still think that a level of EBITDA per tonne of $150, $140, $130, will be still achievable in the future, and when we look at this EBITDA per tonne in 2011, 2012, particularly, below $60 per tonne. Well, when we look at this $150 in the future, it looks quite high. Do you still maintain your view that this is possible? And -- I'm sorry, just a fourth question. I think you had. . .
Daniel Fairclough: I think Aditya is running out of space on his pad, so...
Aditya Mittal: Okay. Very quickly, order books remain short on a global basis. So it's not that the order books are very long. They're not too dissimilar to where we were last year at the same point in the cycle. In terms of the squeeze on the margin due to iron ore, clearly, we have a mix of contracts at ArcelorMittal and there are some accounting lag effects. So you would tend to see the impact of January and February pricing in the second and third quarter of 2013. In terms of the $150, I mean, we always include the mining EBITDA in the $150 figure, so 2012 is $85. 2012 was clearly a very poor year for us, only 2009 was worse. We do believe that as capacity utilization levels improve on a global basis, especially in China, then we should get back to the $150. We've significant progress in our business, not only have we grown in the mining side, but we've also achieved management gains, as well as asset optimization improvements.
Daniel Fairclough: Okay. So we'll take the next question from Carly Mattson at Goldman Sachs.
Carly Mattson - Goldman Sachs Group Inc., Research Division: Could you talk to whether or not the company would consider refinancing the $3 billion of debt maturing in June with new bond issuance?
Aditya Mittal: Yes, we will not comment on that.
Daniel Fairclough: Okay. So we'll take the next question from David Katz at JPMorgan.
David Adam Katz - JP Morgan Chase & Co, Research Division: I heard you guys speak earlier about the issues that you experienced in Kazakhstan. I just wasn't clear if those have been resolved going forward, and the same for Poland.
Lakshmi Niwas Mittal: As for Kazakhstan, yes, we have. As I said, when I spoke before, yes, during January, we have resolved them. And we are performing now better than where we were in the previous quarter.
Aditya Mittal: And the same is true for Poland.
Daniel Fairclough: Okay. So we'll take one final question from Alex Haissl at Morgan Stanley.
Alexander Haissl - Morgan Stanley, Research Division: Just one final question. Is there any change in your strategy, looking basically to grow the mining business versus the steel business? Or are you still committed to create a world-class mining business? That's my final question.
Lakshmi Niwas Mittal: No, I don't think that we have any change in our strategy on mining or in the steel. In the mining, we are committed to continue to grow and reach 84 million tonne capacity by 2015. And just to remind you, that our expansion is based on a low-cost investment, because we are perhaps -- we have all the infrastructure available for our expansion, that is, our own railways, our own ports, so this has allowed us to continue to work on our mining strategy and we are on the track for that. On the steel side, we have always said that we have to remain cost competitive and you have seen that we have worked on asset optimization, which will allow us to operate our core capacity. That is more than 80% OpEx capacity and will make our business more competitive and more sustainable. So this is our OpEx plan, which we will continue to work in 2013. And since this was the last call, I'll make the closing remarks. Thank you very much for -- to everyone for participating in this call and to remind you that on March 15, we are having Global Investors Day and I invite you all to participate in London or in New York at your convenience. And more details will be available from our -- from Daniel and his group. Thank you very much. Have a good day.